Operator: Good morning, ladies and gentlemen. My name is Vanessa, and I will be your conference operator today. [Operator Instructions] At this time, I would like to welcome everyone to the Agnico Eagle Mines Limited Q4 2025 Conference Call. [Operator Instructions] Thank you. Mr. Ammar Al-Joundi, you may begin your conference.
Ammar Al-Joundi: Thank you, operator. Good morning, everyone, and thank you for joining our Agnico Eagle Fourth Quarter and Year-end 2025 Conference Call. I'd like to remind everyone that we'll be making a number of forward-looking statements, so please keep that in mind and refer to the disclaimers at the beginning of this presentation. This morning, we're pleased to announce another strong quarter, capping off a remarkable year. In 2025, as gold prices hit new highs throughout the year, Agnico Eagle delivered on our production targets, we delivered on our costs, and we did it responsibly and reliably. While the price of gold went up $1,700 year-over-year, our cash costs went up $76 per ounce. This means we delivered over 95% of this gold price increase to the benefit of our shareholders, delivering on our core mandate of providing gold upside leverage to our owners. In 2025, we repaid almost $1 billion in debt. We built up almost $3 billion in cash, and we returned over $1.4 billion directly to our owners through dividends and share buybacks, all while continuing to invest heavily in our future through the largest exploration budget we've ever had and through continued strong investments into our 5 key growth projects. In an exceptional year for gold, Agnico Eagle delivered on our commitments to our owners, to our employees and to our communities. This strong momentum continues into 2026 and beyond, supported by a stable annual production profile of between 3.3 million to 3.5 million ounces over the next 3 years at peer-leading costs while reporting record reserves, record resources, record inferred ounces and an increase to our dividend. While 2026 cash costs are forecast to be up a little over $100 per ounce compared to last year, more than half of that increase is from the assumption of higher royalties and a stronger Canadian dollar. Excluding those assumptions, our cost increase is about 4% to 5%. This would be at or slightly below the inflation we saw in the industry last year. So good cost control on the factors that we can influence. Our reserves are at a record 55.4 million ounces, up 2%. Our resources are at a record 47.1 million ounces, up almost 10% and our inferred ounces are at a record 41.8 million ounces, up a remarkable 15.5%. 2025 was an exceptional year, and our near-term prospects look even better. But the real story this morning, the real excitement is not in looking back or even the next 3 years. The real excitement this morning is that Agnico Eagle is in the best position we've ever been in, and we're already aggressively advancing our next phase of growth and growth per share. This morning, we want to focus on our plan to increase production by up to 20% to 30% over the next decade with a path to over 4 million ounces of annual production by the early 2030s. This growth is from the highest quality projects in the best jurisdictions in the world. This growth is from projects we already own in jurisdictions we know well with existing teams and in most cases, leveraging off existing infrastructure. This is important because our job isn't simply to grow but rather, it's to grow value for our owners on a per share basis. And in our industry, growing in stable jurisdictions, leveraging existing infrastructure not only delivers to our owners the best return on capital, but also the best risk-adjusted return on capital. Next slide, please. These assets were over the past few years, we've been investing substantial time, energy and money and where our investments are accelerating. We're at a point where we see a step change in production per share starting in 2030, and we're eager to share our progress with you this morning. At Detour Lake, the largest gold mine in Canada, where we're executing a plan with the potential to deliver an additional 300,000 to 350,000 ounces per year through the development of an underground mine, we've added 4.3 million ounces of resources during the past year in the high-grade mineralized corridor that's amenable to this underground mining. And we're tripling our investment from $100 million to $300 million as we accelerate our work towards a go-ahead decision mid-2027 and potential to start underground production as early as 2028. At the Canadian Malartic complex, the second largest gold mine in Canada, where we see an opportunity to add a remarkable 400,000 to 500,000 ounces per year through our fill-the-mill strategy. We've added 9 million ounces of reserves since our last technical update. We're ahead of schedule on the ramp, expected first production from East Gouldie this quarter and ahead of schedule on the first shaft expected to commission in 2027. We're making excellent progress evaluating opportunities to fill-the-mill further via the Marban open pit via Wasamac underground and via a second shaft, all 3 with targeted first production by 2033. At Upper Beaver, which is expected to produce over 200,000 ounces per year, we're ahead of schedule again on both the ramp and the shaft. We're increasing our investment from $200 million to $300 million to accelerate the development of the project with the goal of bringing production forward to 2030. At Hope Bay, where we're working on a study that supports a 400,000 to 425,000 ounce per year operation, we saw a 46% increase in inferred mineral resources, primarily from Patch 7. We expect a study update and potentially a project approval as soon as May of this year. We continue to make good progress at San Nicholas and hope to have permits to move forward shortly. These projects alone have the potential to add 1.3 million to 1.5 million ounces of highly profitable annual production. And in each case, we've made excellent progress, and we're moving forward aggressively. With that introduction, I will now turn over the presentation to our CFO, Jamie Porter, to review our third quarter and full year results.
James Porter: Thank you, Ammar. As Ammar mentioned, we delivered record financial results in 2025, driven by a strong operating performance disciplined cost control and a supportive gold price environment. We finished the year with a solid fourth quarter, producing approximately 841,000 ounces of gold at total cash cost of $1,089 and all-in sustaining costs of $1,517 per ounce. Costs increased quarter-over-quarter, primarily due to higher royalties, lower production volumes and higher costs at our Meadowbank mine associated with extending mine life. Despite higher costs, we delivered a number of financial records in the fourth quarter, including record adjusted earnings of approximately $1.4 billion or $2.70 per share and record free cash flow of over $1.3 billion or $2.62 per share. For the full 2025 year, we exceeded the midpoint of our guidance with gold production of 3.45 million ounces, underscoring our consistent track record of execution. Total cash costs and all-in sustaining costs were $979 and $1,339 per ounce, respectively. Both were slightly above the top end of our guidance ranges due to higher royalty costs driven by an average realized gold price of $3,454, nearly $1,000 per ounce above our guidance assumption. We exclude the impact of higher royalties, our total cash cost would have been $937 per ounce, $42 per ounce lower and below the midpoint of our guidance, again, reflecting strong cost discipline and execution by our operating teams. With this performance, we generated strong leverage to the gold price, capturing approximately 95% of the increase in gold price and margin expansion and delivered record financial results across the board, including approximately $4.4 billion in free cash flow for the year. We turn to the next slide. Our record financial performance and continued margin expansion benefited our shareholders, both through increased direct returns and through a materially stronger balance sheet. In 2025, we repaid approximately $950 million of debt and increased our cash position by $1.9 billion, ending the year with $2.9 billion of cash. We delivered record shareholder returns through share buybacks and dividends, totaling approximately $500 million in the fourth quarter and a record $1.4 billion for the full 2025 year. We are in the strongest financial position in our company's history, and we believe we are exceptionally well positioned in the current gold price environment. We expect to continue to increase shareholder returns. We increased the quarterly dividend by 12.5% to $0.45 per share. And at current gold prices, we expect to be more active on share buybacks. To support this, we intend to renew our normal course issuer bid in May and increase the purchase limit up to $2 billion. In 2025, we returned approximately 1/3 of our free cash flow to shareholders, and we see the potential to increase that to 40% or higher this year with flexibility depending on the gold price and the needs of the business. At the same time, we remain focused on further strengthening our financial position. As a reminder, given our strong profitability, we are required to pay a significantly higher cash tax liability related to the 2025 fiscal year this February, which is approximately $1.3 billion, and we have the cash on hand to fund that obligation. Lastly and importantly, we continue to deploy capital in a disciplined manner to advance our highest return organic growth opportunities. While current gold prices are driving strong cash flow generation, we remain committed to disciplined capital allocation with a continued focus on enhancing long-term shareholder value. We move on to the next slide. We have updated our guidance and continue to expect stable production levels over the next 3 years. We're especially proud of the work our team has done as we were able to provide an improved outlook for 2028 relative to consensus, supported by a life of mine extension at Meadowbank and higher levels of production from Canadian Malartic, Fosterville and Kittila. We turn to costs. The midpoint of our 2026 guidance ranges are $1,070 per ounce for cash costs and $1,475 per ounce for all-in sustaining costs. Approximately 60% of the increase in cash costs relative to 2025 reflects higher royalties, driven by a higher budgeted gold price of $4,500 per ounce and the impact of a stronger Canadian dollar. The remaining 40% of the increase reflects expected inflation of approximately 4% to 5% and the impact of lower grade mining sequences. Beginning in 2026, to enhance consistency and comparability across our Nunavut operations, we have adjusted the calculation of total cash costs and all-in sustaining costs to exclude certain payments at Amaruq that are made to the NTI, an organization representing the Inuit of Nunavut. These payments have similar characteristics to mining duties we pay under the Nunavut mining regulations, which are already excluded from the calculation of total cash costs and all-in sustaining costs. Our cash costs and all-in sustaining costs remain hundreds of dollars per ounce below those of our peers, reflecting the quality of our asset base and continued cost discipline. If we look at our capital expenditure guidance, it reflects our focus on reinvesting in the business to lay the groundwork for our next phase of growth. We are accelerating capital at Detour Underground and Upper Beaver through mid-2027. In addition, Hope Bay represents an attractive growth opportunity. If approved, we expect additional capital of approximately $300 million beyond what is currently reflected in the guidance for 2026. Dom, Natasha and Guy will provide further detail on these projects later on the call. Together, these projects represent compelling opportunities that deliver strong returns with significant upside and the potential to create value for decades to come. Overall, our updated guidance reflects a consistent and reliable business at peer-leading costs as we continue to advance our pipeline of growth projects and remain well positioned to deliver meaningful leverage to higher gold prices. With that, I'll turn the call over to Dom.
Dominique Girard: Thank you, Jimmy. Good morning, everyone. In my part, I will cover the operation and key project highlights for Quebec, Nunavut and Finland. Q4 has been a very stable, again, consistent quarter that contributed to a strong 2025 on production and costs. Thanks to all employees and management teams for their commitment, engagement, but specifically about the collaboration to keep improving the business. And a good example of that collaboration is about how we are around how we are better usage -- we do a better usage of our data. It is highlighted here in the outlook. At LaRonde, the last 6 months, they've worked on telemetry to analyze the data, the behavior of the equipment and the behavior of the operator to better understand how this was going. And they've been able to improve the number of hours on the transmissions and motors from 3,000 hours up to now 6,000, 7,000, 8,000 hours. This has been done by building an in-house expertise on analyzing data and finding trending and then getting back to the operator, getting back to the trainers to go in that direction. So this is a very good way to be more efficient. And this is also something which is transferable to other operations and other projects that we're currently building. So through that collaboration, now we're transferring that to Goldex and then it's going to go also to other divisions. Same thing with the fleet management system. We're piloting right now at LZ5. So specifically, we're going to have a dispatch system into our ramps for you that have already been underground into a ramp, you could see how it could be a mess sometime. So we're now bringing that to another level. And all that knowledge is going to be rolled out also at Odyssey and Amaruq later this year. Another good news on the outlook is Meadowbank mine life extending up to 2030. Meadowbank has played a very important role in smoothing our 2026, 2030 production profile by bringing those additional ounces. Thanks to the Meadowbank team for this key contribution. Those ounces are, yes, higher risk, but no higher risk. I mean, higher costs, but low risk into, let's say, currently -- current infrastructure. So that's very positive. And thanks for the team also to keep looking for more options to potentially extend it beyond 2030. This is still under review. Next page. Malartic fill-the-mill strategy. So back in 2023, when we released our first or updated study on that, we had 9 million ounces. The mine life was going to 2042. With the good drilling done, we've been able to potentially extend by double that mine life. So with the first shaft, which is illustrated on the first line here at the bottom and the ramp, we're still very in good position to deliver that on time, on budget. But since we are adding more ounces, that could bring us up to 2056, 2057. So this is why the second line is now into play. How could we bring those ounces faster into the time. So the team is working on that to potentially have a second shaft in operation in 2033. That's one part of the vision of the 1 million ounces. Again, back to the 2023, we, at the time, set a vision, okay, how could we bring that to 1 million ounces using just 1/3 of the mill. The first second shaft is a good example. And as well in the last 3 years, we have worked to bring also Marban and Wasamac satellite ore body that's going to be transported to Malartic, and that also could bring more ounces. If you add, you do the sum of that, we're at the 1 million ounces. We are progressing well into the studies, and we're targeting to give you more information on that potentially end of Q3, early Q4 next year that you're going to be able to have a better view on all of them. So very positive news. The-fill-the mill strategy is taking place, and there's still room also at the mill. If you do the sum, all of that, you're going to be at 46,000 ounces per year. So there's still over 25 drills running into the region around Canadian Malartic, and who knows where we're going to be in 3 years from now. Next slide. At Hope Bay, back in 2021 after the acquisition of TMA, we quickly set a target to bring it over, let's say, north of 350,000 ounces per year to make that project economical. So the good news is we are reaching that now, and we are looking to release and to give you more information about that in May this year. The study looks like a 6,000 tonne per day north of 400,000 ounces per year. So we're reaching our target. We're going to be able to start to, let's say, first kick off a 10-year life of mine. This is what we're looking for. And if this goes forward, we're going to be able to spend -- we're well prepared to spend an additional $300 million on top of what we're guiding right now. So it's very positive. And the study is built on strong foundation using Meliadine and Amaruq mine benchmark. So we know what's going to be the cost. We know how we're going to operate that. It is backed with historical background, historical information on the OpEx, on the CapEx, how it's going to cost to build. Secondly, we are over -- we're going to be over 50% of engineering. That was a clear target. We're reaching that. And on the execution, it's not our first barbecue in Nunavut. So we know how to do it. It's going to be the same team using the same contractors or partially same contractors, and we know it's going to be a success. On that, I will pass the mic to my great teammate, Natasha.
Natasha Nella Vaz: Thanks, Dom, and good morning, everyone. I'll cover the operational highlights for Ontario, Australia and Mexico. The regions delivered full year production as planned and demonstrated balanced execution across the portfolio. And at the same time, they continue to advance initiatives to further optimize our performance. At Macassa, we're very proud of the team as we've achieved record gold production. And in 2025, anticipating declining reserve grades in the coming years, the team proactively initiated work to increase mill throughput. And now in 2026, we continue to advance these initiatives with a target to increase throughput to 2,150 tonnes per day by the end of 2027. At Fosterville, we're taking a very similar approach to managing declining reserve grades. We now have a plan to increase the milling and mining rate to 3,300 tonnes per day by 2028 through various optimization efforts. And this plan is expected to support annual production of somewhere around 160,000 to 190,000 ounces starting in 2028 and into the early 2030s. And we continue to see significant upside at Fosterville through exploration to support mine life extension. At Detour, despite the pit delays this year, the mill achieved record annual throughput of 28 million tonnes. That represents a 35% increase since the mill expansion began 6 years ago. I just want to take a moment to commend the site team for this achievement. It was a lot of hard work to get there. So I just wanted to say a quick thank you to the team. The team is now focused on further optimization with a revised time line to support a more measured ramp-up to 29 million tonnes, giving the team a little bit more flexibility and to optimize processes and embed sustainable operating practices. Now moving to the next slide. The mill optimization that I just spoke about to 29 million tonnes is part of Detour's next phase of growth, which also includes the development of an underground operation. We're advancing on both fronts, and we have a clear line of sight to achieving 1 million ounces of annual gold production in the early 2030. In 2025, we made good progress in advancing permitting in exploration, in high-intensity drilling, in establishing the key infrastructure on surface and, of course, developing the exploration ramp. So given our increasing confidence in the underground project, we've decided to accelerate approximately $200 million of capital through to mid-2027. This acceleration of capital is expected to derisk project construction and ramp-up and also could accelerate the development towards the main ore zone. At the same time, we're also assessing to begin incremental underground production from a shallower Western extension zone as early as 2028. So since our last project update in June 2024, the mineral resources have increased significantly. As a reminder, only 4 million ounces were included in the underground study update in June 2024, while our year-end mineral resources are now roughly at 6 million ounces in measured and indicated and another 6 million ounces in inferred. And considering the continued exploration success, we feel that there is an opportunity for a larger underground mine than the one we first envisioned. The combination of exploration success and this higher gold price environment has given us a lot of optionality at Detour that we're in the early stages of evaluating. This could include a higher milling capacity, a larger underground scenario or a larger open pit. We said when the study was completed in 2024 that this was just a snapshot in time, and we continue to believe that. So stay tuned. We feel that further opportunity is still ahead at Detour. Now moving to Upper Beaver. The project continues to advance very well there. The exploration ramp is ahead of schedule. And in the fourth quarter, we began shaft sinking and by year-end, the shaft reached a depth of 155 meters. The team has done an excellent job. And given their strong execution, we're now planning to spend an additional $100 million from now until project sanction that's expected in mid-2027. Again, like the Detour underground project, this acceleration of capital is expected to derisk the construction and ramp-up and also accelerate initial production to 2030. Now I've said this before, but the Upper Beaver project could unlock significant long-term value across the company's wider Kirkland Lake camp. In addition to the potential extension of the mineralization at depth at Upper Beaver, the project could also support a centralized mill strategy for satellite deposits that are nearby, like Upper Canada or Anoki-McBean . All in all, the Upper Beaver project is progressing very well. I would like to end by just thanking the teams for their passion, their persistence, their incredible efforts in 2025. It's very much appreciated, and I look forward to continuing to advance the optimization efforts with you and the key projects. With that, I'll pass the call over to Guy.
Guy Gosselin: Thank you, Natasha, and good morning, everyone. First of all, I would like to take a moment to thank all of the exploration team at the different mine sites and regional exploration offices across the company for an excellent year for safety, productivity and cost control. We had more than 120 drill rigs in action through the year in 2025 and safely completed nearly 1.4 million meters of core drilling while controlling our unit costs that were slightly lower than previous year. Our commitment to innovation led by our drilling excellence team continue to pay off and will be an important part of our success moving forward as we are undertaking 2026 with an objective to exceed 1.5 million meters of drilling. On Slide 14, the 2025 exploration drill program across our operation and key pipeline project, combined with the acquisition of Marban project next to the Canadian Malartic complex led to a very strong mineral reserve and mineral resources total at year-end 2025. Year-over-year, our mineral reserves are up 2.1% to 55.4 million ounces. Our measure and indicated mineral resources are up by almost 10% to 47 million ounces. And our inferred mineral resources are up by an impressive 15.5% to 42 million ounces, demonstrating the strong exploration upside of our asset. And as we can see on the graph on the right-hand side of that slide, if we look globally since the merger in early 2022, despite the fact that we've mined approximately 15 million ounces over that period of time, we'll still manage to significantly grow our mineral reserves net of mining depletion to a record of 55.4 million ounces through successful exploration, conversion, delivery of studies and smart acquisition over the last 4 years. From a results standpoint, I would like to comment on 3 projects. On Slide 15, in Malartic, the great result produced throughout the year at East Gouldie, Odyssey and the parallel Eclipse zone led to an addition year-over-year of about 470,000 ounces in underground proven and probable reserves and of 2.9 million ounces in inferred mineral resources, including 600,000 ounces from the newly discovered Eclipse zone parallel to the East Gouldie close to our planned mining infrastructure. And on the adjacent Marban project, 128 drill were completed totaling in excess of 39 kilometers of drilling in 2025. An initial mineral reserve declaration of 1.58 million ounces was made from 52 million tonnes at 0.95 gram per tonne as part of our fill-the-mill strategy. The initial mineral reserve was calculated from the existing drill hole database at the time of the acquisition and did not incorporate any of the 2025 drilling. We plan to deliver an updated study of the Marban project at the end of '26, incorporating new drilling as well as additional opportunities for synergy with the Canadian Malartic complex relating to workforce, equipment and facilities in order to optimize Marban as part of our fill-the-mill strategy. Now on Slide 16, at Detour, drilling has continued extremely well in the year with 215 kilometers of drilling completed, mostly focused on the infilling and expansion of the mineral resources towards the west to advance the underground project. 2 areas were specifically targeted, one below and around the center point of the current reserve open pit illustrated here in orange on this graphic. The results in this area continue to support the 2 mining approach with several wide intervals with combined width exceeding 200 meter locally between 1 and 2 gram per tonne, including narrower high-grade intercept reaching up to 10 grams over 10 meters that could be mined sooner from underground while keeping the option to mine a much wider, lower grade surrounding mineralized envelope in a future larger open pit scenario. The other area being targeted is located 3 kilometers to the west and outside to the west of the current ultimate open pit scenario, close to the underground exploration ramp currently being developed. This area also returned strong results up to 10 grams over 10 meters and remains open at depth into the west. At year-end 2025, the resources amenable for underground mine project now stands at 5.5 million ounces in measured and indicated and 5.8 million ounces in inferred. This will provide a much larger mineral resources base for the upcoming update of the Detour underground project compared to the 2024 initial study that incorporated only 4.6 million ounces in the first iteration of the mine plan. And last but not least, at O3, we had 6 drill rigs operating through the year, completing an excellent total of 131,000 meters of drilling in 2025. We continue to see strong results in the Patch 7 area, both at depth and in the southern extension. The excellent result provided through the year led to the addition of 1 million ounces year-over-year in inferred resources, mostly from the Patch 7 area. With the strong addition of mineral resources since the acquisition of the project in 2021, we have a much larger resources base to support the project development -- redevelopment plan that was discussed earlier by Dominique. In 2026, exploration will continue to focus on growing and converting resources to reserve to support the project development and deliver an updated reserve estimate at the end of 2026. So all in all, an excellent year in exploration that translated into a significant addition of reserve to support our short- to medium-term production growth vision, but even more importantly, a very significant increase of 15% in our inferred resources that makes us confident in a bright future. This result keeps demonstrating the phenomenal exploration upside of our portfolio of projects and the outstanding work being done by our great exploration, technical services and operation team across our different operation and key value driver project. And on that, I will return the microphone to Ammar for some closing remarks.
Ammar Al-Joundi: Thank you, Guy. At Agnico Eagle, we are proud of our record of growing value per share for our owners over decades, not only by providing full leverage to gold prices, but also importantly, by growing gold production per share. As we look forward, we're excited that even as the second largest producer of gold in the world, we see a clear path to a decade of continued and meaningful increases in production per share at peer-leading costs with exceptional risk-adjusted returns. And we're already working on additional projects that have the potential to add even more growth, including early work on Hammond Reef, Timmins East and Northern Territory. Next slide, please. As you can see, we continue to work hard for all of our stakeholders, and we will continue to build off the same foundational strategic pillars that have served us well over the past 68 years. We're going to continue to focus on the best mining jurisdictions based on geologic potential and political stability. We'll continue to be disciplined with our owners money, making investment decisions based on technical and regional knowledge, creating value through the drill bit and through smart acquisitions where and when it makes sense. We are uniquely well positioned with a quality project pipeline, leveraging existing assets in the best regions in the world and where we believe we have a strong competitive advantage. And we will continue to be focused on creating value on a per share basis and on being leaders in our industry in returning capital to shareholders as evidenced by over 42 years of consecutive and growing dividend payments and increasing share buybacks. In summary, 2025 was a great year for the gold market. 2026 is off to an even stronger, albeit volatile start. And while we don't have a crystal ball to predict prices next week or next month, we do remain constructive and positive on the long-term gold price going forward due to global structural financial and political currents that are not easily changed. Our goal is not only to give our owners full upside leverage to gold prices, but to give them more gold per share over time. We've done that for decades, and we have a solid plan in place to continue to do that over the next decade. all while having the highest quality assets in the best jurisdictions in the world at peer-leading costs. At Agnico Eagle, our business is going well, and we're in the strongest position in our almost 70-year history. Thank you again for joining us on this call. Operator, may I ask that we now open up the call for questions.
Operator: [Operator Instructions] And we have our first question from Lawson Winder with Bank of America.
Lawson Winder: If I could just tackle the subject of M&A right off the block, and I understand that it's probably a little bit sensitive right now, but any color you could provide would be helpful. But has Agnico decided if they would tender their shares to the offer currently out on Foran.
Ammar Al-Joundi: Well, thanks, Lawson. Look, like any M&A activity, the decisions are up to the various shareholders, and there's a lot more shareholders than us. So that's not really something I would be comfortable discussing.
Lawson Winder: Okay. I thought I would try anyway, but I completely understand. And then maybe just sticking with that theme, there has been an acceleration in M&A activity in the gold space in recent years, but even in recent quarters. What is the current view from Agnico in terms of M&A? And of course, I mean, I acknowledge that you have tremendous growth potential in the existing portfolio. But I mean, opportunities do emerge from time to time. What is the thinking on that, particularly with respect to jurisdiction, but also just respect to your thoughts on potential urgency around M&A.
Ammar Al-Joundi: Well, it's an excellent question. And I'll start M&A, like exploration, like project investment is a capital allocation decision. And it's our owners' money, and we take that seriously. And everything we invest in is designed to create value for our owners on a per share basis. What does that mean for M&A? That means a couple of things. The first part is, are you positioned to be able to identify and assess good opportunities to invest your owners' money, including in M&A. And I think we're very well positioned. You know us. We know everybody in the communities and the regions we work with. We have good relationships. We have, in many cases, a very good understanding of the various assets out there. So we are well positioned, and this is important, like it's easy to buy stuff. it's hard to buy stuff that makes money for your owners. So the first thing is, are you positioned to have a knowledge advantage. And I think we are well positioned there. But what I would say, Lawson, is we are willing to move and we have moved when we see an opportunity on the M&A side that actually creates value per share. We're not interested in just getting bigger. The hard part is actually creating value per share. And so that's going to always be the driver, not only of M&A, but all of our capital allocation decisions.
Operator: We have our next question from Fahad Tariq with Jefferies.
Fahad Tariq: Maybe just to clarify, there were a few cost productivity initiatives mentioned in this presentation. I remember there were a lot more also mentioned in the last quarter presentation. Is this already incorporated in the 2026 ASIC guidance? Or is this further improvement from the guidance that's provided?
Dominique Girard: Dominique speaking. I would say it's partially included, but not all. We all -- it's Natasha and myself role to put the bar at the right place for budget and guidance, but we keep some flexibility in that.
Fahad Tariq: Okay. And then just on the underlying inflation, I think the comment was made, and this was in the press release, somewhere around 4% underlying cost inflation. Can you just remind us like -- or any other color on consumables versus labor? Fuel is probably a tailwind at this point. And any key labor agreements that are coming up for renewal in 2026?
James Porter: Yes. So Fahad, it's Jamie. I can comment on that. I'd say, I mean, our biggest cost apart from taxes now is labor. It's about 45% of our overall cost structure. And we've seen labor inflation running in around 4%. Across the other consumables, chemicals, reagents, equipment, parts and supplies, there's some fluctuation. But overall, I think across the industry last year, inflation -- cost inflation ran around 5%. So 4% on labor, 5.5%, 6% on everything else.
Ammar Al-Joundi: And I'll make the comment. When you observe what's really pushed costs up in the past, it hasn't been so much that labor costs went up 6% instead of 4%. It's been when you can't get the labor and when you can't get the parts. At $5,000 gold, we anticipate there is going to be more pressure on workforces. But one of the advantages we really believe we have at Agnico is our lowest turnover in the industry. We've been the #1 employer in the regions we operate for decades. We have really good relationships with our people. And more than the -- whether it's 5% or 6%, it's going to be, can you keep your turnover low? Are you going to get the kind of productivity that you depend on from really the best workers. And we think we are very well positioned in the market for that.
Operator: We have our next question from Josh Wolfson with RBC Capital Markets.
Joshua Wolfson: If everything goes according to plan with the project portfolio, I'm wondering if we should expect CapEx to increase in future years? Or should we think about the current run rate as more of a plateau going forward?
James Porter: Yes, Josh, it's Jamie here. It's a good question. And I think, I mean, with the 20% to 30% production growth starting in 2030 and ramping up through the decade, you're seeing the benefits of that capital spending. Assuming we go ahead with Hope Bay and approve construction of that project in May of this year, that would add about $300 million to maybe $350 million of capital. So if you factor what we've guided, the $2.1 billion that we guided of the $300 million for Hope Bay, we're about $2.5 billion -- $2.4 billion, $2.5 billion of capital this year, plus another $400 million of capitalized exploration. I think that's an appropriate range over the course of the next few years. We will see capital kind of stay at that elevated level. And then once we start to see that stair step increase in production in 2030, you'd expect the capital to start to come off.
Ammar Al-Joundi: And it's important to note, we are voluntarily accelerating these investments. These are not overruns. These are not things we are voluntarily accelerating because at these prices, these projects really do deliver exceptional returns in the sort of 30% to 60% IRR range. And again, our job is to make our owners money. And if we can make them an IRR of 30% to 60%, that's a good thing. So we -- again, to emphasize, these are voluntary decisions we made to accelerate what we think are the best projects in the world.
Joshua Wolfson: I hear you. I look forward to these project updates and the IRRs at $5,000 gold. Just on the capital allocation side of things, at current gold prices, even with the new dividend and assuming completion of the $2 billion upcoming NCIB, by our forecast, you're still building pretty meaningful cash at these levels. So when you think about our projections outlined potentially excess of $5 billion in the back half of this year of net cash, how do you think about allocating that in the event gold prices stay at these levels or potentially go higher?
James Porter: Yes. Thanks, Josh. I mean, obviously, we want to have as much financial flexibility and financial strength as possible because it just creates optionality in terms of how best to grow value in the business. to Ammar's point, I mean, we've identified the 5 key value drivers and how we think we can expand those. But based on the success that we've had through the drill bit, the projects keep evolving, and there could be the potential for further growth and further accelerations in capital spending. So we do want to make sure that we've got the balance sheet to be able to support that. If we end up between 3% to 5% of our market cap in cash on the balance sheet, I don't think that's a bad place to be. Again, it just gives us that financial foundation to be able to have the capacity to invest in further growth in the business.
Joshua Wolfson: Got it. And maybe just to tie in that sort of train of thought and maybe Lawson's questions on M&A. I'm wondering on the M&A side, you sort of outlined, Ammar, the opportunity to create value per share, but there are a lot of projects the company has that look outstanding at current gold prices. So when you think about measuring external opportunities against the internal portfolio, what would make an M&A opportunity really look compelling beyond just per share upside?
Ammar Al-Joundi: That's an excellent question, and I'm glad you put it in the context of competing with internal projects because you always want to -- like anything else, you want to pick the best investment for your owners. I think with regard -- so on the one hand, internal projects, you always have more knowledge. You just do. And so that's a bit -- that kind of leans towards -- if I had something at the same return that's internal versus external, your natural reaction would go to the one that you have more confidence in, which is always internal. That said, what would really interest us and what has really driven us for external M&A has really been exploration upside. That -- everything we buy, you know this industry, if you buy a high-quality asset, you end up paying what seems like a full price, but the real value is, are you -- do you have a very strong view on the exploration upside. And that's frankly been the modus operandi of what we've done on the M&A side. The real the real return to our owners has been from expanding what was -- expanding well beyond the initial view of what was there.
Operator: We have our next question from Daniel Major with UBS.
Daniel Major: Can you hear me okay?
Ammar Al-Joundi: Yes.
Daniel Major: Great. few questions. First one, can you give us an approximate cost estimate of the ounces coming from the life extension at Meadowbank like out to 2030?
Ammar Al-Joundi: Well, I probably should have said to Dom because he's got more updated numbers. I think the last number I saw was sort of in the $2,200 to $2,300.
Dominique Girard: Yes, right there.
Ammar Al-Joundi: Okay. Good. I just wanted to point out that those are additional ounces. So it's not like the costs went up. These are just additional ounces that make an awful lot of money at current spot prices. Something that's interesting, I'll just throw this out there. Meadowbank is on our books for, I think, $866 million. In 2025, Meadowbank made $870 million in cash flow. So it's been really quite a remarkable asset.
Daniel Major: Okay. Yes. And sorry, just to be clear, that 2,200, 2,300 is that's an ASIC, not a total cash cost is correct?
Dominique Girard: Yes.
Daniel Major: Yes. Okay. Yes, the second one, just to perhaps follow on from the capital allocation question in terms of returning excess cash to Josh's question, yes, I mean, would you consider the combination of buybacks and special dividends in a continued high price scenario? Or would you just extend the EUR 2 billion buyback facility?
James Porter: Yes. Thanks. I think we could really do either. I think there's no reason for us to rule out ever paying a special dividend. That would certainly be a consideration in, as you say, a continually rising gold price environment. If we achieve that cap of $2 billion, and we're still generating excess cash beyond what we need or anticipate needing to run the business, then that would certainly be a consideration.
Daniel Major: Okay. And then one more, if I could, and it sort of incorporates your current project pipeline and other options. You obviously accelerating capital spend and adding more projects to the pipeline. Do you feel that any point in the organization is reaching a limit in terms of technical and kind of human capital? And if that is the case, in terms of other options like Hammond Reef, Taylor, Holt, et cetera, what could they be worth to somebody else? And would it ever be a consideration to recycle those projects?
Ammar Al-Joundi: Again, excellent question. So we always look at how do we get the most money for anything for our owners. So I would say that we are at a point with what we've got on the table very comfortable, but we are using a lot of our people. And so to the extent that we would look at, say, Hammond Reef or some of the others, they would be scheduled to take that into account, the manpower availability. And a lot of these jobs are very highly skilled, highly specific jobs. But your point is a good point. If it makes sense for someone else to own one of those assets, and they view that they can pay our owners more money than we see in it, we would always be open to that.
Daniel Major: Okay, great. Thanks and congrats on a great year.
Operator: Our next question is from Anita Soni with CIBC.
Anita Soni: I think we've talked about capital allocation a lot, but I did want to understand the -- like the way you think about the downside on dividends. I get you guys are conservative and said you never want to cut your dividend. But how did you sort of come up with the 12.5%, say, versus the 25%? Is there some kind of pricing scenario that you're using in order to determine the dividends and that's like the baseline scenario that you use?
James Porter: Anita, yes, it's Jamie. There's no specific gold price scenario that we're using in a specific downside scenario to come up with that dividend. The reality is the gold price could pretty well be cut in half, and we'd be okay maintaining that level of dividend. So I'm very confident in an increase. And the increase is $100 million from $800 million to $900 million a year. It's a pretty modest percentage of our overall free cash flow. So very comfortable increasing the dividend to that level. And really, we'll use the share buyback as the -- we will either increase or reduce that depending on our profitability and cash flow generation.
Anita Soni: And then secondly, I just wanted to talk a little bit about the projects. So thanks for all the detail on the projects that gives us something to work with to bring to life some of these reserves and resources and that organic pipeline in our models. So could you just -- specifically on Hope Bay, I guess you're putting out an updated study in May. Could you give -- I mean, could you give us a little bit of a teaser on in terms of the CapEx and numbers that we could potentially be looking at?
Dominique Girard: Yes, Anita, it's Dominique. Yes, CapEx is going to be around this $2 billion. Again, we're still working on it, but that's where we're looking for. The project is going very well in terms of -- it's like Meliadine, we're preparing the field like we're going to have over 400 rooms, new rooms ready for the construction. We're preparing the landfill. We have currently around 100 people working full time doing engineering to make sure that we're going to be at 50, 60. And this is what you need to be able to have what is the CapEx that's going to be spent. When you have a lot of detail, the good amount of detail, it's easy, you could go in tender, you work with the contractor, the supplier to firm up your number. If that's what we did at Meliadine. We end up 6 months in advance and on budget at the time. So we're looking to do the same thing.
Ammar Al-Joundi: And as Dominiquestion sort of said, and I think he used the expression, not our first barbecue in Nunavut. But in Nunavut, because of the logistics if you make a mistake, it's a lot more expensive. And so the team has done a great job on engineering and a great job on preparing the site. I'll add upgrades to the port facility, upgrades to the laydown facility. We've emptied already the previous no building. I mentioned the camp, like all the things between preparation and engineering to make sure that you're in the best possible position for execution, which is important in any project and particularly important in projects that have sort of those kind of logistical challenges.
Anita Soni: Just wanted to say congratulations on the growth. That's truly a standout for the senior group. And also on Hope Bay, I think I remember you took a bit of flag for that acquisition 4 or 5 years ago, and it looks like it's going to be -- I mean, just by my rough math, you're like a sub-$300 all-in acquisition and build costs. So congratulations on that.
Operator: Our next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Can you hear me?
Ammar Al-Joundi: Yes, we can, Tanya.
Tanya Jakusconek: Okay. Great. I was just going to continue with Hope Bay, if I could, from Anita's question. Dominique, can you remind me, you said if we get the go ahead in May. And by the way, if we do have a mine tour, Dominique, it better be in May or [indiscernible] barbecue for us to attend. Would -- can you just remind me of what exactly you have permitted up there to do for that $300 million that would be spent in 2026? And what exactly would that $300 million go for?
Dominique Girard: Yes. We have all the permit to spend that $300 million. It's not an issue. There's some element to do before, let's say, getting into production, but there is no red flag on that. What we're going to spend, it's mainly procurement. It's mainly putting steel, concrete and everything we need. Again, we work with barge season. It's always what we need to spend from mid or let's say, the first barge in September '26, getting to the September '27, we need to put everything on the boat. So it is approximately 8 boats that we need to fill up and to deliver to site and to start some more work. This is one part of the spending. The other part is to do ramp development. So keep preparing the field to be ready for full production in 2030. So that's going to be the other part where we're going to spend money.
Tanya Jakusconek: Okay. Okay. Look forward to that study in May. And then I have a second question, which comes back to this capital allocation. again. I wanted to understand, Ammar, from you. First of all, as I look at all of these projects and think about the time frame of 2031 for some of these to come in and '23, should I be thinking that there's about $5 billion of capital to support this growth? Is that somehow how I should be thinking about it? Or maybe Jamie can help me out on that as well.
James Porter: Yes, sure. I mean, at a really high level, if you walk through each of the projects, the Detour underground, potentially, if you round up $1 billion Upper Beaver is $1 billion. Hope Bay is $2 billion. Beyond that, we'll be providing an update on San Nicholas likely later this year. But yes, $5 billion to $6 billion of growth spending over the course of '26 through 2030, I think is about the right estimate, Tanya.
Ammar Al-Joundi: And I would point out, it's sort of subtle, but the team has done a great job in pretty much keeping the sustaining CapEx steady.
Tanya Jakusconek: Okay. And if I can squeeze one more in, I know. But maybe for yourself, Ammar, as you think about this capital allocation and as you think about M&A and as you look at obviously returns to shareholders, one thing is how important is it to own 100% of your assets? And the reason I ask is if Teck was to sell their 50% interest in San Nicholas, would that be something you would consider for your capital allocation?
Ammar Al-Joundi: If it made money for our owners on a per share basis, absolutely, we would consider it.
Operator: Our next question is from John Tumazos with John Tumazos Independent Research.
John Tumazos: We increased the underground resources at Malartic this year, 7.5 million ounces. Should we expect 7.5 million more in the coming year? Or are we getting done with it first. Then second, in terms of converting the inferred resources eventually to reserves, is it more efficient to wait until after 2030 when the first and second shafts might be done, significant development has been completed and the zones can be either visually inspected or channel sampled or close space drilled from underground without the substantial cost of 0.5 mile or 1 mile holes from surface.
Guy Gosselin: John, this is Guy. So your first question, this year, we made a big push at converting the outskirt when you look at the pale green mineral inventory in the outskirt of East Gouldie to bring it to the inferred. So this is where you saw the big addition. There's still some mineral inventory in the outskirt, but much less than we were used to have. And it was by design because we wanted to tight fill that mineralized envelope to bring it to infer. And to your second question, we are already kind of doing some with the current infrastructure, with the ramp in the upper part of East Gouldie. We're going to be doing more and more of that conversion to reserve because you're right, achieving kind of the drill spacing to classify it to indicated or reserve is much more cost efficient from underground. So we're going to be doing having access from the current linkage ramp that goes all the way to the East Gouldie and from the upper part of East Gouldie, trying to do as much of the reserve conversion from underground. But there will be also a continuation of drilling from surface. But we've seen over the total number of drill rig that Dominique was mentioning, there is a progressive shift towards much more drilling from underground compared to the drilling from surface. So we were really aiming to bringing it to infer from surface, and we're going to be doing a lot more of the conversion towards reserve from underground. For the reason you mentioned, the fact that in order to achieve the drill spacing at 30- to 40-meter drill spacing, it's much easier to achieve that and less -- and more cost effective to do that from underground.
John Tumazos: Is it sort of the maximum capacity to add 2.5 million ounces a year to reserve? Or could it be faster?
Guy Gosselin: To resources you meant because in terms of reserves.
John Tumazos: No, no. from inferred to reserve.
Guy Gosselin: From inferred to reserve, this year, for example, we've added 470,000 ounces and our pace is about that to convert about 0.5 million ounces from resources to reserves moving forward. I think that's the achievable pace we're targeting.
John Tumazos: So you got 20 years' worth of that in front of you? I'm kidding you, Guy.
Operator: We have our next question from Bennett Moore with JPMorgan Chase.
Unknown Analyst: Congrats on a record year. Could you unpack the slowing of the mill ramp and change of sequencing at Detour Lake a bit further and implications on cost and CapEx for the next few years ahead of that growth trajectory into the next decade?
Natasha Nella Vaz: Sure. You're talking about the time line, Bennett, for the mill ramp-up at Detour?
Unknown Analyst: Yes. And any implications, I guess, also including incremental stripping and things like that.
Natasha Nella Vaz: Okay. Sounds good. So I'll start with the mill. So in terms of the mill, we did reach 28 million tonnes this year. It's a remarkable achievement for the team. The mill has been in expansion mode for the last 6 years, Bennett. And so the team was looking to just take a bit of time to stabilize the throughput and ensure that we have the sustainable operating practices in place. And this just gives the team a little bit of flexibility. So with respect to the time line, we're looking at still getting the mill up and running to 29 million tonnes by 2030. And at the same time, when we reran our life of mine plan, we're looking at reaching the 1 million ounces in the early 2030s. So not much of a change on that end yet.
Ammar Al-Joundi: Yes. Part of the thing with -- and this is getting maybe a little bit pedantic, but it's not just the throughput, it's make sure you don't have any recovery issues, you don't have any reliability issues. So Natasha's point, it's -- they've done a great job. And I think we have some of the best people in the world on that, and we always take their advice on how to do things the best way.
Unknown Analyst: And then coming to Meadowbank, the mine life, it's nice to see extended to 2030, even if it's incrementally higher cost ounces. But wondering if you could give a better understanding of the opportunity beyond 2030 as it relates to an underground-only mine. I mean could this be of similar size and scale as we've seen over recent years?
Dominique Girard: Yes. The team are looking, targeting, and again, this is very conceptual 250. Is it something possible by -- we know it is going deeper underground. So we could just keep mining. They're also looking for smallest pushback here and there. They're looking below what we've mined at Goose at the time, below what we've mined at Vault at the time, putting that together to see could we extend the Meadowbank. Of course, the USD 5,000 per ounce gold price is very welcome for Nunavut, for Meadowbank. It is also very welcome because we keep drill -- the drill keep running. And who knows? We just need one hole, and that could change the picture. So it's very positive. Yes, it is higher cost. But as Ammar mentioned, it is on top of with existing infrastructure with minimal CapEx to deliver that. So we are still working on it. Maybe 20, I will say not before 2027, we give you -- we could give you more on that. Let's see how the team is going to be able to work at it.
Operator: There are no further questions at this time. I will now turn the call over to Mr. Ammar Al-Joundi for closing remarks.
Ammar Al-Joundi: Thank you, operator, and thank you, everyone, for joining us. Please have a, for those of you who get the long weekend, please enjoy it with your families. Thank you.
Operator: And thank you, ladies and gentlemen. This concludes today's conference call. We thank you for your participation. You may now disconnect.